Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Berry Global Earnings Conference Call. [Operator Instructions] After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your first speaker for today, Mr. Dustin Stilwell. Thank you. Please go ahead.
Dustin Stilwell: Thank you, and good morning, everyone. Welcome to Berry's Fourth Fiscal Quarter 2019 Earnings Call. Throughout this call, we will refer to the fourth fiscal quarter as the September 2019 quarter. Before we begin our call, I would like to mention that on our website, we have provided a slide presentation to help guide our discussion this morning. After today's call, a replay will also be available on our website at berryglobal.com, under our Investor Relations section. Joining me from the company, I have Berry's Chief Executive Officer, Tom Salmon; and Chief Financial Officer, Mark Miles. Following Tom and Mark's comments today, we'll have a question-and-answer session. In order to allow everyone the opportunity to participate, we do ask that you limit yourself to one question at a time and then fall back into the queue for any follow-up or additional questions. As referenced on Slide 2, during this call, we will be discussing some non-GAAP financial measures. The most directly comparable GAAP financial measures and a reconciliation of the differences between the GAAP and non-GAAP financial measures are available in our earnings release and investor presentation on our website. And finally, a reminder that certain statements made today may be forward-looking statements. These statements are made based upon management's expectations and beliefs concerning future events impacting the company and therefore involve a number of uncertainties and risks, including, but not limited to those described in our earnings release, annual report on Form 10-K and other filings with the SEC. Therefore, the actual results of operations or financial condition of the company could differ materially from those expressed or implied in our forward-looking statements. Now, I would like to turn the call over to Berry's CEO, Tom Salmon.
Tom Salmon: Thank you, Dustin, and good morning, everyone. I'll start with our recent acquisition of RPC, which is truly transformational. We made significant progress in the integration over the last five months, and we're even more excited about the organic growth opportunities we believe it will provide. Next, we will reflect on our September quarterly results, then we'll provide an update on progress and momentum we're having in driving profitable, sustainable organic growth across the portfolio. And finally, we will discuss our sustainability initiatives, which are leading to growth opportunities and why we believe we are uniquely positioned for the long term. At the end, Mark and I will be happy to answer any questions you may have. On July 1st, we completed our acquisition of RPC Group Plc. The integration process is well underway, with multi-disciplined teams working together to identify incremental opportunities to create value for our customers and shareholders. While working diligently on this integration, I'm pleased with the first quarter results that this team delivered as the legacy RPC business on a constant currency basis reported an 8% increase in operating EBITDA. While sales and volumes were consistent with the prior year quarter, specifically, the legacy RPC business recorded growth in food and personal care markets, offset by softness in the European industrial markets. Berry is a global plastics and recycled packaging industry leader serving thousands of customers with high quality innovative and protective solutions matched by the industry's most diversified unique and expansive manufacturing platform. Furthermore, the acquisition has created one of the world's largest dispensing solution providers supporting health care and pharmaceutical customers with worldwide value delivery capabilities. This combination gives us the opportunity to leverage our combined know-how to create significant value for our shareholders. Through this shared approach, and as we previously communicated, we anticipate $150 million in annual cost synergies, with approximately half of these synergies expected to be realized in fiscal 2020. In order to effectively capture these synergies and to align us with our customers to provide superior service and drive future growth opportunities, we've realigned our businesses into four geographic and market-focused divisions. We remain highly impressed by the tremendous depth of talent and resources that joined Berry, and we're looking forward to the opportunity to strengthen our combined platform with the wealth of experience and expertise this team has to offer. Turning now to our overall financial results and highlights for the quarter on Slide 5. In summary, both our results and organic growth progression were consistent with our expectations. Net sales and operating EBITDA were records for any quarterly period at $3 billion and $497 million respectively. The quarter included a strong start in our newly-formed Consumer Packaging International division, continued growth in our Consumer Packaging North American business and sequential volume improvement from our Health, Hygiene, & Specialties and Engineered Materials segments. Our adjusted earnings per share was $0.90 in the quarter, and we generated $480 million in free cash flow, closing 2019 with an annual record of $764 million. We are extremely happy and fortunate to have these consistent and dependable free cash flows, which allow us the opportunity to invest in our businesses and provide maximum value for our shareholders. Now looking at some of the details, specifically by segment. Our Consumer Packaging North American business reported volume growth in the quarter of 1% as we continue to focus on investing in growing markets, where we have advantaged products and we're very encouraged by the momentum of this division, delivering six consecutive quarters of positive volume growth. Our Health, Hygiene & Specialties division saw sequential quarter-over-quarter volume improvement as anticipated, and we continue to innovate, deploy new capital for organic growth, and focus on increasing our share of wallet with existing customers. We're very pleased with the progress our team made in the quarter towards securing a stronger pipeline of new business awards. Our investments made in China and North America remain on track, and will begin benefiting us in early 2020. Inside our Engineered Materials division, we also saw sequential quarter-over-quarter volume improvement as expected, and we made progress on board in our new business pipeline discussed in previous calls. We're allocating capital in this business to reduce cost and continue growing our specialty products. We anticipate investing over $150 million to be allocated over the next three years toward growth in next generation products. These new products are more sustainable and use less resin, while providing equal to or greater performance characteristics. Fiscal 2019 was a busy year for us in our sustainability journey. Just to highlight a few initiatives. On Slide 6, you will see that we became a founding member of the Alliance To End Plastics Waste. We laid out Berry's Impact 2025 strategy and signed a New Plastics Economy Global Commitment to eliminate plastics pollution at its source. And just recently, we announced we joined SABIC in the Production and Use of Circular Polymers from Chemical Recycling. We're excited about the potential of chemical recycling, which we believe complements mechanical recycling and allow Berry to cover harder to recycle materials and keep them in the circular economy. And finally, before I turn the call over to Mark, who will review our financial results in more detail, I want to reiterate our focus on driving profitable and sustainable organic growth and our expectation of delivering positive sales volumes in all segments in the back half of 2020. I would like to highlight our commitment to maintain a strong balance sheet and that we are well positioned to continue our historical track record of growing our free cash flow and delivering on these commitments, just as we've done every single year as a publicly traded company. Mark will provide more detail in his remarks, and then I'll come back to discuss our strategy and sustainability efforts, and then open the call for questions. Mark?
Mark Miles: Thank you, Tom, and good morning, everyone. I'd like to refer everyone to Slide 9 now -- or Slide 7 now, excuse me. As Tom referenced, fourth quarter reported sales were up 47% to just over $3 billion. A nearly 50% increase included revenue from the acquisition of RPC, which closed at the beginning of the quarter, along with continued strength in our North American Consumer Packaging business. These positives were partially offset by lower selling prices due to the contractual pass-through of resin costs, anticipated volume headwinds in our Engineered Materials and Health, Hygiene, & Specialties segments, the sale of our Seal for Life business, and an unfavorable currency impact. From an earnings perspective, the September quarter operating EBITDA increased by 44% to $497 million. The increase included contributions in the RPC acquisition, partially offset by unfavorable price cost in both our Engineered Materials and Health, Hygiene & Specialties segments. After accounting for the annualized impacts of acquired and sold businesses, our adjusted EBITDA totaled $2.215 billion for fiscal 2019. Before turning to segment results, please turn to Slide 8. As Tom highlighted briefly, we have reorganized our segments to better align with our customers, provide improved service, drive future growth, and facilitate cost efficiencies. The new structure organizes our business into four geographic and market-focused divisions. The new Consumer Packaging International segment, primarily comprised of RPC's International business. Berry's legacy Consumer Packaging division has been renamed Consumer Packaging North America and also includes RPC's North American rigid business. Engineered Materials and Health, Hygiene & Specialties remain the same with a few piece of the business moved to and from the newly formed Consumer Packaging International segment. Now looking at the results of each operating segment with the prior year results restated to match the current structure, starting on Slide 9. For the quarter, our Consumer Packaging International division delivered sales of $1.1 billion and operating EBITDA of $173 million. Again, this division is primarily RPC's international businesses, and as Tom referenced earlier, had a solid start with growth in food and personal care markets, offset by softness in the European industrial markets. We are encouraged by the earnings improvement in the quarter and progress with the integration. Next on Slide 10, sales in our Consumer Packaging North American division were $744 million in the quarter, which was 15% higher than the September 2018 quarter as a result of the business realignment from RPC and a 1% organic volume growth as the business has continued executing its long-term strategy focused on advantaged products in targeted markets. These contributions were partially offset by lower selling prices from the contractual pass-through of lower resin costs. Operating EBITDA for our Consumer Packaging North American division in the quarter was $137 million compared to $101 million in the prior year quarter. This 36% increase was primarily driven by the business realignment from RPC, continued organic volume growth, productivity improvements along with favorable price cost from the recovery of prior-year inflation. Turning to Slide 11, our Health, Hygiene & Specialties division delivered sales of $570 million in the quarter compared to $680 million in the prior year quarter. The decrease was primarily attributed to the contractual pass-through of lower resin prices, lower organic volumes and an unfavorable currency impact. The sales volume decline was primarily a result of the customer product transition in hygiene that we referenced on prior earnings calls. Volumes in the segment sequentially improved, as we continue to secure incremental demand toward our commitment to generate positive organic volume growth starting in fiscal Q3 2020. Operating EBITDA decreased by $23 million from prior year quarter, when adjusted for the sale for the Seal For Life business, and on a constant currency basis. This decrease was primarily a result of unfavorable price/cost spread along with the customer product transition. Next on Slide 12, sales for our Engineered Materials division was $628 million for the quarter compared to $673 million in the prior year quarter. The decrease was primarily attributed to pass-through of lower resin prices and lower organic volumes, partially offset by volume for the Laddawn acquisition. Organic volumes were consistent with our expectation as we sequentially improved volumes and began the qualification process of recent business wins. Operating EBITDA in our Engineered Materials division was $101 million compared to $122 million in the prior year quarter primarily as a result of unfavorable price/cost spread including mix of products sold and higher manufacturing costs. These increased manufacturing costs were primarily driven by cost to on-board our robust growth pipeline as well as negative overhead leverage resulting from the lower organic volumes. Slide 13 provides a summary of our income statement for our fiscal fourth quarter. Overall operating income was $398 million in the quarter compared to $194 million in the prior year quarter, primarily attributed to the improved operating EBITDA just discussed, as well as the gain on the sale of our Seal For Life business in July, partially offset by expenses associated with completing the acquisition of RPC in the quarter. Our net income in the quarter was $229 million, up 72% compared to the prior year quarter of $133 million, and our adjusted earnings per share was consistent at $0.90. Next, on Slide 14, the company generated a quarterly record of $630 million of cash flow from operations in the quarter compared to $448 million in the September 2018 quarter. Net capital expenditures in the quarter were $128 million as we incurred spending on cost reduction initiatives as well as growth-related projects. Our free cash flow for fiscal 2019 of $764 million represents a cash flow yield of nearly 15% using our quarter end market capitalization. With this substantial free cash flow and the proceeds from the SFL sale, we made early principal payments on our term loans of over $550 million in the quarter and issued a partial redemption on a $100 million of our 6% second priority senior secured notes after year-end. We anticipate further reducing our overall debt, and we'll pursue additional opportunities to reduce our interest costs by refinancing some of our existing debt, in addition to operating our capital structure more efficiently with opportunities from the recent RPC acquisition. We remain committed to maintaining a strong balance sheet and our consistently increasing dependable and improving free cash flow provides us the opportunity to further improve our strong balance sheet as we have demonstrated historically. We are reaffirming our fiscal year 2020 free cash flow financial guidance and assumptions shown on Slide 15. We are targeting fiscal 2020 free cash flow of $800 million, which includes $1.400 billion of cash flow from operations, partially offset by capital expenditures of $600 million. This guidance also includes the use of cash for working capital and other restructuring related costs related to the RPC acquisition of $90 million along with cash taxes of $160 million and cash interest of $500 million. We continue to feel confident with our projected volume inflection in mid-2020. Looking beyond fiscal 2020, including realization of synergies and excluding costs associated with the integration of the RPC acquisition, our normalized free cash flow would be more than $900 million, which represents a free cash flow yield of over 17% using our quarter end market capitalization. This concludes my financial review. Now, I will turn it back to Tom.
Tom Salmon: Thank you, Mark. Our September quarter delivered in line with our expectation, and I'm very pleased with the progress and integration of RPC with the business generating solid financial results. This transformative acquisition gives us a world-class product innovation engine, which enjoys leading positions in higher value-added closures, dispensing systems, medical devices and health care packaging. We have and will continue to commit resources to create profitable and sustainable organic growth across these markets. Similarly, RPC's presence in emerging markets complements Berry's growth objectives in multiple industry segments. The strategic merit, long-term benefits and financial impacts of this combination represents an incredible opportunity for Berry, its customers, suppliers, employees and shareholders. Being able to leverage our combined know-how, material science, supply chain, product development, manufacturing technologies and sustainable solutions gives us certainty that the combination will benefit Berry for years to come. We remain confident in our total cost synergy target of $150 million, with half or $75 million, expected to be realized in fiscal year 2020. We continue to work diligently across all of our businesses to grow organically, and have been able to demonstrate organic volume growth by providing advantaged products in targeted markets as evidenced in our Consumer Packaging North American segment, which has grown positive volumes for the past six quarters. We remain confident in our projections of volume inflection for our Engineered Materials and Health, Hygiene, & Specialties division in fiscal 2020. Our record level of expected capital expenditures in fiscal 2020 of $600 million is further evidence of our commitment and focus on organic growth while maintaining our low cost position in the markets we serve to drive further value for Berry. Now specifically, what are we doing to drive growth in each of our segments? With our Consumer Packaging International business, we're excited about the potential of the new dispensing portfolio with unique airless pump technologies and specialty valves. Global dispensing solutions is the key area of focus for Berry and complements nicely with our closures products. Our pharma business growth potential is also a key highlight of our acquisition and positions Berry as a growing global health care packaging market player. RPC brought niche and specialty health care products including innovative respiratory devices among others, and we're exploring greater penetration in this space with new strategic investments. And within our Consumer Packaging North America business, our value proposition and recent success around connectivity, sustainability and cost-innovation has led to innovative packaging solutions, which addressed unmet needs. The division is making excellent progress replicating the successful strategy across multiple sub-segments as we continue to increase the percentage of advantaged products within our portfolio. Our pipeline of growth opportunities, which includes blood diagnostics, infection control containers, child-resistant packaging markets, and we expect to continue generating positive organic volume growth in this space. Within our Engineered Materials division, we're focusing on light-weighting numerous products while providing similar or enhanced physical properties enabled by recently completed alternative material qualifications. An example of the recent innovation relates to our PACK EXPO award winning Entour product line, which recently won the 2019 Technology Excellence Award. This barrier film offers all the functionality and performance of the traditional barrier film while remaining polyethylene recycle stream compatible. The design has excellent moisture and oxygen barrier that can go through the store drop-off PE recycle stream. As I stated earlier, we made progress toward our objective of regaining lost share with our local and regional distribution accounts during the quarter, and remain committed to sequential improvement toward our continued objective of positive organic growth. Within our Health, Hygiene & Specialties division, our previously announced investments in China in a state-of-the-art technology for premium hygiene and air filtration applications along with our North American investment in our proprietary Spinlace technology for the wipes market all remain on target. These capital expenditures reinforce our commitment to investing in growth regions and segments to further strengthen our leadership position and provide additional momentum for sustainable growth in these global markets. In line with these investments, customer demands for premium quality and differentiation have continued to escalate as consumer preferences and features and attributes are beginning to outweigh the lower prices for lesser products. In addition, we are well positioned with our asset base and product solutions related to discretion and comfort, which was augmented by our Clopay acquisition to build on our leading market share positions in the faster-growing incontinence and premium hygiene segments. We continue to pivot our resources in the more attractive markets as just mentioned, along with biopharmaceutical and specialty applications while working diligently to increase our share of wallet with existing global health care and hygiene customers. Just recently, we entered into a long-term agreement with a large biopharmaceutical customer to produce an advanced solution product, which will supply flexible clean packaging to support this growing industry. We believe that we will see continued improvement in our comparative organic volumes and expect to achieve year-over-year growth in the second half of fiscal 2020. Lastly, let me take a moment to discuss sustainability and the growth opportunity it provides Berry. As the global sustainability leader, we must take a proactive approach in providing environmentally friendly solutions, educating customers and providing design innovation, all to aid in the collection and support of the circular economy for plastics. As you can see in my prior comments, one of our key organic growth opportunities for Berry comes from the increasing consumer demand for more sustainable or environmentally friendly packaging. At Berry, we continue to believe the possibilities in uses of plastics are endless. In fact, over the years, customers and consumers alike have become accustomed to the advantage of plastics packaging, weight, versatility, durability, convenience, barrier properties, allowing fresh food to be kept fresh longer and cost effectiveness. Now, all of us have an additional expectation and that is for the packaging to have an accountable end-of-life solution that retains the value of the packaging material and prevent it from becoming waste. We believe the way to focus on these growing requirements, particularly around waste, is through sustainable packaging. Berry is uniquely positioned globally to lead the way in this evolution. As an industry leader, we have the scale and resources to innovate and develop new products as desired. We are collaborating with our customers and our stakeholders and have taken a new initiative to educate particularly around the topics of recycling and what delivering more sustainable packaging means. Turning a moment to what we're doing internally around product development, which includes a broad range of alternative and solutions focused on recycling and sustainability and raw materials. In the area of recycling and sustainability within our Consumer Packaging International segment, three specific market-leading businesses allow us to meet our customers' increasing need for products to incorporate recycled material. First, we're one of the UK's leading recyclers of rigid plastics packaging, providing high specification materials for both industrial and consumer packaging markets, and we continue to expand our processing capacity in support of growing customer demand. Second, we also have a leading position in the UK's recycling of agricultural and industrial films. This business has a true closed loop where we've converted over 65,000 tons of material this past year. And third, we also have the leading European position in waste management storage solutions, providing market-leading products and services to the waste collection industry. In the area of raw materials, each year, our products use less and less materials through redesign and technology improvements. Berry's leading position and success in light-weighting has been a strong core differentiator for decades. And just this year, we saw several product lines light-weighted by more than 15%. We are well positioned to help customers with recyclable, PCR-based and reusable packaging solutions. Inside both our Consumer Packaging segments, PCR content is growing, and more and more Berry's portfolio, including products such as wine bottle, body wash in industrial containers are reaching 100% recycled content. Additionally, within Engineered Materials, we made strategic partnerships to provide closed-loop solutions for products serving the e-commerce channel. In Health, Hygiene & Specialties, by the end of 2021 -- excuse me, by the end of 2021, we expect 90% of our Hygiene portfolio will have bio-based materials available to serve our customers. The bottom line is that plastics has become an indispensable part of all of our lives and we must work together to take the necessary steps to drive sustainability throughout the value chain. Finally, Berry will continue to take the steps necessary to remain a leader in the markets where we participate through a relentless focus on building and strengthening our competitive advantages to ultimately maximize shareholder value. Management at Berry continues to be laser-focused on finding ways to extract more value for our shareholders by reinvesting in our leading low-cost position, leveraging our resources around the businesses with the greatest opportunity to grow, and create value for our customers, all while doing our part to protect our environment. I'm confident that the people at Berry will continue to drive positive results and achieve our goals and mission of always advancing to protect what's important. Thank you for your continued interest in Berry. At this time, Mark and I'd be happy to answer your questions.
Operator: [Operator Instructions] Your first question comes from the line of Anthony Pettinari of Citi. Your line is open.
Anthony Pettinari: Hi, good morning. Tom, you talked about the volume recovery in Engineered Materials. And I guess, there is a component of that, that you can't control, the product qualification issue that impacted you earlier this year. Maybe there is a component you can't control in terms of weakness in industrial markets. If we just zoom in on the product qualification issue, can you give us an update on how that volume recovery is going relative to your expectations, maybe three, six months ago, and the kind of the cadence of volume recovery for the next couple of quarters there?
Tom Salmon: Yes, Anthony, we've -- of the pipeline, about 30% has been qualified, and is part of our current run rate. So, we've got another two-thirds to go for the remainder of 2020. You will see that begin to be onboarded here now in our Q1, Q2, benefiting us in the back half of 2020.
Anthony Pettinari: Okay, that's helpful. And then in HH&S, you referenced the China and US capacity that's driving the expectations for volume growth in the back half of 2020. Just wondering if you could give an update on the timeline for that capacity ramping and getting sold into the market? And then, can you just remind us when you lap that customer loss that you referenced earlier?
Tom Salmon: Certainly, the customer lapping happens in conjunction with our Q3 pivot to growth for HHS. But China investments, Anthony, we just had a review yesterday, those projects remain on track. We are qualifying the machines running right now. So, we're running plastics through the line, qualifying materials consistent with our expectations, the team has done a terrific job building a pipeline for that asset. Clearly, it's one of a kind, the growth dynamic remain very strong for this product line, supporting feminine care premium hygiene in this space. The support from our end customers has been very positive, giving us a lot of confidence that, that will deliver as expected on time as we have outlined.
Tom Salmon: Okay. That's very helpful. I'll turn it over.
Operator: Thank you. Your next question comes from the line of Ghansham Panjabi of Baird. Your line is open.
Ghansham Panjabi: Hi, guys. Good morning. I guess, first off, can you just give us more color on volumes by sub-segment for RPC. Tom, you mentioned growth in categories such as food and personal care. Can you sort of quantify the volume growth? And also, how big is the industrial end-market for RPC? What specific end-market verticals would qualify the industrial within that? And can you just kind of quantify the volume decline, specific to RPC industrial?
Tom Salmon: Sure. Listen, when we first did our due diligence on RPC, we were very attracted to the fact that it had a portfolio very similar to what we had in Berry North America. 70% of the portfolio in RPC is consumer non-discretionary products, such as food and beverage, health care, personal care. The remaining 30% of the markets tied into things like building construction, waste management distribution and other specialty segments. We clearly would tell you the RPC business, we believe, will be a low single-digit growth business. And while there certainly can be factors in Europe that are more macro-oriented, somewhat out of our control, we still feel that this business will be low-single digit growth for our Company going forward.
Ghansham Panjabi: Okay. And then just in terms of the EBITDA cadence for fiscal year '20, I mean there's a lot going on with RPC, the synergies and also the volume inflections in EM and HH&S. I mean, how would you help us think about EBITDA from first half, second half or however you want us to think about it? Thanks.
Mark Miles: Yes, sure. Good morning, Ghansham. I would say, our historical pattern of EBITDA RPC doesn't change. As Tom said, its products and market similar to Berry's. So we started off the year -- the December quarter is typically our weakest quarter followed by March, and then typically June is our strongest quarter with September being the second strongest quarter. And then again, you have to recognize, to your point, that synergies will build as well as the year goes. But in terms of excluding synergies, the ranking again would be June -- from strongest to weakest, June, September, March and then December. And I would say, if you look at our historical results from Berry, it would be very similar post-RPC.
Ghansham Panjabi: Okay. Thanks so much.
Operator: Thank you. Your next question comes from the line of George Staphos of Bank of America. Your line is open.
Unidentified Analyst: Hi, this is Molly Bom [ph] sitting on for George. He is traveling today. I just wanted to ask a quick question on Health, Hygiene & Specialties. Can you -- and sorry, if I missed this in the prepared remarks, but can you kind of go through a little bit more detail on what's driving the $14 million of negative price -- sorry, price mix, and kind of how you expect that to improve as you enter fiscal 2020? Thank you.
Tom Salmon: Yes, the drivers, we've talked about in some previous calls, there is a technology change that ultimately created a headwind for us. We will pass through that headwind beginning in the third quarter. During that time, that will obviously on a comp basis provide less an improvement, but the real driver comes from the benefits that we've been working towards, which is increase in our share of wallet with existing customers, which continues to go very well, the deployment of our new R5 technology in Asia, our air filtration investment in Asia, as well as our premium wipes technology in North America. So it's really those things that are driving the benefit coupled with a recent investment in clean room medical packaging where we were very excited about signing a 10-year supply agreement with an end-user in this very stable high growth space. So those are the key drivers for the pivot inside of HHS.
Unidentified Analyst: And particularly from price cost spread as well or are those kind of more volume comments?
Mark Miles: Yes. The impact of that -- those volume on price cost, so we've got the double factor of incremental business coming on, the cost associated with that, starting up new lines, starting up new business, and maintaining the cost that we had on weaker volumes. Right. So we're at an inflection on price cost as those volumes ramp up.
Unidentified Analyst: Got it. Thank you. I appreciate it.
Operator: Thank you. Your next question comes from the line of Brian Maguire of Goldman Sachs. Your line is open.
Brian Maguire: Good morning, guys. Thanks for taking the questions. RPC, it looks like the EBITDA came in -- I know the acquisition contribution total was $198 million, seem like maybe RPC specifically might have been $192 million, that seemed a bit better than what you guys had been targeting from my recollection. Just wondering if you could comment how much of that might have been, any synergy capture that occurred in the quarter that might have been already kind of getting a head start on the $150 million versus just maybe better margin or underlying trends? And sort of related to that the volume outlook for RPC, I think you talked about 1% low single-digit kind of an increase, which is consistent with what you talked about in the past. But I know in the past, after you've done acquisitions sometimes there's a little bit of going through the portfolio and pruning some of the less attractive pieces. Just wondering if we should expect a similar kind of phenomena in RPC in 2020 when we're looking at volume growth?
Mark Miles: Yes Brian, good morning. Yes, we're really pleased with the start from RPC. The synergy realization was pretty modest in the quarter, not a meaningful impact there. So the results there were driven by strong operations as we said in the prepared comments. We're off to a good start there. With respect to the last part of your question, on volumes, the company has a very historical track record of delivering low single-digit growth, and we're really excited about the combination of the products with our existing businesses and we're going to look to over drive that down. This will be a multi-year process and we're excited about the opportunities that the combination of the product lines will provide globally.
Tom Salmon: And Brian, I would add. Just to reiterate what Mark said, the transformational nature of this is exciting for us because it gives us an opportunity to look beyond the first two, three years in terms of process optimization throughout the combined business, the sharing of best practices, which the collaboration between the two groups though, Consumer Packaging International and Consumer Packaging North America has been outstanding, where we're seeing, if there is product line components that we ultimately bring value in -- through legacy RPC that we ultimately can adopt in North America, let's do it quickly, and vice versa in North America. So that collaboration in itself is actually creating a pipeline of opportunity for us to bring more value to our end customers.
Brian Maguire: Okay. Just final one for me. Just -- congrats on getting the SFL deal closed. Just wondering, as you're looking at the portfolio, diverse business as you've got now following the RPC deal closing, any updated thoughts on potential further divestment opportunities as a way to sort of accelerate the deleveraging process?
Mark Miles: Nothing we'd comment during the call, but suffice to say, it's an ongoing process inside our Company and with our Board of Directors relative to doing portfolio reviews, making certain that we understand how and where we extract value in each of our portfolios, and what its strategic fit is based on our overall organic growth and capital investment objectives.
Brian Maguire: Okay. Thanks very much.
Operator: Thank you. Your next question comes from the line of Neel Kumar of Morgan Stanley. Your line is open.
Neel Kumar: Great. Thanks for taking my question. So you've talked about a pipeline of $120 million of new revenue opportunities in EM. Can you just give us a sense of what type of new product introductions does this consist of?
Tom Salmon: Multi-layer films and converted films are two of the key components for Engineered Materials. Those tend to be higher margin components for our business. And again, we like it because they are specified materials with the specific end use. This isn't -- this is tied to a targeted piece of business with a known demand outline. So that's why we're -- we enjoy that component of our pipeline. It's far more predictable.
Neel Kumar: Great, that's helpful. And then in Consumer Packaging North America, are there any other key drivers of the volume improvement over the past six quarters that you can call out besides for the growth at foodservice products? And what's your confidence that the growth can be sustained?
Tom Salmon: I have a high degree of confidence that the growth can be sustained. Inside our Consumer Packaging business, the foodservice space continues to impress. The performance in the quarter versus a very difficult comp in prior year, I think, is a strong testament to that. We're looking to translate those successes not only in foodservice, but the methodology about how we're penetrating that space, incorporating that both in our Closures business as well as our Containers business. And I would also say that IML, as well the combination between RPC and legacy Berry has created the world's largest in-mold label provider worldwide. So all those things go into our level of confidence. And again, we continue to further penetrate foodservice by consolidating other SKUs inside that space, both plastic substrates and others.
Neel Kumar: Great. Thanks.
Operator: Thank you. Your next question comes from the line of Tyler Langton of JPMorgan. Your line is open.
Tyler Langton: Good morning. Thank you. Just on the synergies, I know you talked about getting $75 million of the $150 million total this year. Can you just talk a little about, is that mostly this year procurement or just sort of where you're seeing sort of some of the initial successes?
Tom Salmon: Like most of our acquisitions, the primary driver typically is on materials, followed by process improvement optimization, and then where there is opportunities for redundant synergies in terms of people or process.
Tyler Langton: Got it. And then just switching to EM, the -- I think you mentioned the $150 million of CapEx investments over the next three years. Could you just talk a little bit about I guess the timing of that and kind of how we should think about those investments benefiting sort of revenue and earnings?
Tom Salmon: Well, you know, as we said, that's going to play out over the next several years. Two things. One, we're continuing to make investments around automation and finding ways to further automate our facilities. Secondly, investing in converting technologies allow us to continue to weight reduce and incorporate other materials in those film substrates to lower the basis weights, while at the same time driving performance that is consistent with what was the legacy product. It's too early to talk about, but we continue to make pretty significant strides in that business relative to weight reduction, relative to our current standard unit of measure, which is pounds. So the team is doing, I mean, very good work right there and a lot of the work that we've done around qualification by the raw materials, the know-how that we have in the business relative to material science is allowing that, with some converted films being light-weighted up to 20%. So when you think about that on a comparable basis, it's quite significant and generating the same physical properties. So that's a general description of those investments.
Tyler Langton: Great. Thanks so much.
Operator: Thank you. Your next question comes from the line of Kyle White of Deutsche Bank. Your line is open.
Kyle White: Good morning, everyone. Thanks for taking my question. Just focusing on Engineered Materials, the price mix headwind kind of continues to accelerate sequentially here now for a few quarters. Can you talk about the competitive dynamics in this business. Is it becoming more price competitive as you start to see softness in industrial markets? Or is this something that's more related to cost inefficiencies from the material qualification?
Tom Salmon: Yes. As we expected Kyle, we -- as we talked about earlier in one of the questions, we're on-boarding the new business and so we've got costs associated with on-boarding that business, while we're still lapping the year-over-year headwind for volumes, obviously, we've got stranded costs associated with that. That will be absorbed as this new business ramps up. So as the business comes online, we would expect that relationship to continue to improve sequentially as the volume increases. But right now, we're at that point where we've got the cost associated with the new volume that's being incurred without the full impact of the volume benefit.
Kyle White: Yes, that makes sense. Just moving to HH&S, I'm just trying to understand what's embedded in guidance. We've talked about the kind of inflection in the back half for this segment, as you lap the customer product transition. I'm just curious what guidance assumes for the baby care market. Are you assuming similar levels of weakness, or are you assuming that it kind of stabilizes in the back half there?
Tom Salmon: Yes. In aggregate, we're not forecasting significant changes in the baby category. However, the share of wallet gains that we've worked toward and achieved will provide lift for us in the back half of the year.
Kyle White: Thank you. Good luck in the fiscal 2020.
Tom Salmon: Thank you.
Mark Miles: Thanks, Kyle.
Operator: Thank you. Your next question comes from the line of Arun Viswanathan of RBC Capital Markets. Your line is open.
Arun Viswanathan: Great. Thanks. Good morning. I just wanted to clarify the volume outlook again. I thought -- I was under the understanding that I guess EM could potentially turn around to positive volume growth in the March quarter and HH&S in the June quarter. And I guess now you're kind of maybe expecting that to happen in the back half. Am I right in that understanding, if you push that out? Or -- and if so, what drove that?
Tom Salmon: No. Nothing has changed. Same projections relative to EM and HHS, that's changed. HHS is Q3; EM is Q2.
Mark Miles: No change.
Arun Viswanathan: Okay, great. And then going back to the price-cost side, I know that there has been calling of lower margin volumes over the last little while in EM and so on. But maybe you can just give us a little bit more on potentially how you expect to win back some share loss. I mean, would it be necessary to compete on the price side or how do you expect to, I guess, drive that volume growth outside of your own initiatives?
Tom Salmon: Yes. First, we compete every day as a low-cost producer in this space. We continue to make investments in that regard. Our core competency is the ability to work with our customer partners on things like I talked about, where you ultimately can find ways to reduce weight, up substrates provide the same exact physical properties. We talked about the on-boarding of two-thirds of $120 million pipeline still to come in that business in the back half. We made sequential improvement in terms of recovering distribution business and we plan to continue to do that. And similarly, the capital investments that I talked about, will not only benefit us by reducing material usage, but also allow us to reallocate our labor towards more value-added activities in the plant and also reduce our energy consumption. So those are the buckets that drive that change. It's innovation. It's the continued improvement and the sequential improvement in terms of the volume recovery and to reinvest in our low cost position that we enjoy today.
Arun Viswanathan: And just lastly, with regards to your deleveraging, I know that's a large focus. Could you just confirm that that's the main use of capital? I mean, are you looking at any bolt-on M&As or would you consider anything at this point, or are you solely focused on deleveraging? Thanks.
Tom Salmon: The primary objective for us is to delever the Company, I would say that the cash flow generation in our Company gives us an incredible amount of flexibility to not only reinvest in our business, but similarly also focus on those delevering objectives.
Arun Viswanathan: Okay. Thanks.
Operator: Thank you. Your next question comes from the line of Gabe Hajde of Wells Fargo Securities. Your line is open.
Gabe Hajde: Good morning. Thanks for taking the question. I'm going to try to take a stab one more time, I guess, at the EBITDA cadence. Mark, can you -- should we expect EBITDA for the first fiscal quarter to be down on a sequential basis? You guys are almost two months through that. If you can give us any color on that. And then, any change in, I guess, business trajectory whether it's legacy or RPC that you can call out or would like to?
Mark Miles: Yes, Gabe, certainly, December quarter, again, is a weaker quarter seasonally. Although Berry is not a significant seasonal business, we do have the holidays that impact our customers, given their shutdown. So yes, the December quarter -- specific answer to your question would be the December quarter would be -- we would expect to be sequentially weaker than the September quarter that we're reporting on today. And again, that would build as the year progresses throughout fiscal 2020, A, just for to account for normal seasonality, and B, as the synergies begin to be realized throughout fiscal 2020 and ramp up.
Gabe Hajde: Thank you for that. And last one, I don't know if -- I mean, I know part of the rationale to acquire RPC. I mean, you guys have some overlap in blue chip customers. Has there been any inbound inquiries that you can talk about, Tom, maybe in terms of, I guess, customers looking to source from you on a international basis now that you have the presence? I don't want to get ahead of ourselves in terms of revenue synergies, but just anything you can speak of.
Tom Salmon: No, the simple answer is absolutely. We truly now have a global value delivery capability, whereas previously we had an international presence. Today we can coordinate action effectively with a specifier in North America and we can convert in Europe. We can convert in China. We can convert in South America. So we truly have that global value delivery, and that is a -- it's one of those attributes we talked about in our prepared comments. It's very synergistic with some of our other businesses in terms of people, in terms of footprint, and customers certainly, as they look to grow their businesses, having a single point of contact and ultimately coordinates everything from contracts, quality, innovation, and allows them to do that on an international basis, it's unique. Not many companies have the opportunity to do that. And it's certainly something that we'll look to extract value from. And I think the -- I would say, since July, the amount of coordination between Consumer Packaging International and CP North America has been exceptional. We've shared talent, and it's going to go a long way to begin furthering those conversations to become quantifiable revenue and earnings.
Gabe Hajde: Thank you.
Operator: Thank you. Your next question comes from the line of Mark Wilde of Bank of Montreal. Your line is open.
Mark Wilde: Good morning, Tom. Good morning, Mark. Tom, I wondered, there's been all those talk about the backlash against plastic packaging at your European and North American Packaging business has had volume growth in the quarter. Can you talk about what you're seeing from the packaged food companies and CPGs right now in terms of packaging mix?
Tom Salmon: Yes, it's very fair. There is certainly a lot of question and interest in understanding what's available, right. They all want to understand what the -- what type of materials from PCR will be available from a bio-base perspective. Now we're going to have the opportunity to sample and trial chemical recycled materials. So there is a big push in terms of ultimately what they might look to from a material composition perspective. But the number one thing that continues to get people's attention and the biggest request that we have is, how can you help us design for sustainability to make our products easier to ultimately recycle and reprocess inside of a recycle facility. Secondly, how can Berry help us take weight out of the products that we're using. As an example, we gave a presentation to Pack Expo. There was -- we ran out of space for people. The topic and subject matter was all from the designing for sustainability. As a result, we hosted a webinar this week, a webinar. We had 367 participants and end users part of that participation, all focused on learning more from us relative to what they should think about in terms of designing for sustainability. So it's two-pronged; weight reduce, understand how they ultimately design, understand then ultimately what materials will be available and what the cost differences may be versus virgin resin. That's why we're certainly taking advantage of all the different possibilities because there's still not one that has -- that, I would say, is the preferred way. Everyone though is heavily focused on finding a way to eliminate waste getting into our environment. And most recently, I worked with Congressman Bucshon here in Indiana and representative Tony Cardenas of California where they issued the RECOVER Act. And the RECOVER Act is all about how we ultimately create matching grants to support expanded recycling infrastructure, how it ultimately supports private partnerships aimed at increasing the recovery materials, and it's a direct grant money to consumer education and recycled packaging. So we're in the early innings of this Mark, but we feel on a global basis, we are very well positioned. In fact, we're evaluating over a dozen potential products -- projects, I should say, in the recycling side that would give Berry a strategic advantage, help drive end-market demand for those materials and increase consumer recycling access. So early innings more to come, but we are going into this knowing that whatever we do, it's all focused on how we generate growth and greater shareholder value.
Mark Wilde: Okay. Tom, I'm just curious in your prepared comments this morning, I heard you talk a lot more about dispensing pharma and health care than I can recall in the past, and it sounds like you might even be looking at some investments. Can you give us a little bit of color on that?
Tom Salmon: Yes. Just the combination of the two platforms between our closures and dispensing solutions business creates about a $2 billion business inside of Berry. And when you consider that, now we have the opportunity to take on any advantaged products that legacy RPC had already introduced or was marketing, and deploy that in the U.S. is an exciting space for us. So, this is definitely something strategic. It's around that macro trend, Mark, that we've talked about before, which is Health & Wellness. The global phenomena is not going away, and it's a great opportunity for us to participate in that. And even the carryover, the clean room medical packaging to support biopharmaceutical is another great example [ph]. We continue to look to find ways to pivot the portfolio to areas that have higher growth rates, where we bring an advantage and ultimately we can capitalize and bring value to our end customer with a long-term agreement just as we did in the Medical Packaging side as well.
Mark Wilde: Okay, very good. Good luck in the coming quarters.
Tom Salmon: Thank you.
Operator: Thank you. Your next question comes from the line of Salvator Tiano, Vertical Research. Your line is open.
Salvator Tiano: Hi. Good morning, guys. So first thing I would like to clarify a little bit the working capital contribution for this year and next, what's kind of embedded in that working capital restructuring in other bucket? Especially for this year, I think, if we take into account the TRA, I think, working capital in other was around $140 million benefit. So if you can talk a little bit about what is happening there?
Mark Miles: Sure, good morning. Yes. So the TRA that you referenced that was settled and terminated in fiscal 2019. So that's the cash out that will no longer exist going forward. With respect to our working capital in fiscal 2019, we did benefit from falling resin costs in fiscal 2019 as those were pass-through with lower selling prices as well as lower inventory costs. As we look forward into 2020, our assumption is essentially flat on materials, and we still have some integration costs remaining in fiscal 2020 relative to RPC integration. And so that's a $90 million headwind that's built into our $800 million guidance for fiscal 2020.
Salvator Tiano: Perfect. And on CapEx, I think, the $600 million that you're committing to for fiscal 2020 seems to be obviously on the higher end of what the company with your sales would do in the long-term. And I guess part of RPC's prior projects may be contributing to that. As we look into a normalized run rate, and you have a slide with $900 million plus of normalized free cash flow, how should we think about CapEx as a percentage of sales? Should it be reverted back to 4% or could your investments in sustainability keep it elevated around 5%?
Tom Salmon: It's really going to be driven by what opportunity we have ultimately to continue to invest in advantaged markets and product lines that ultimately allow us to generate strong organic growth. And that's part of the driver for the $600 million. It's actually a reinforcement that we're very serious about being able to deliver organic growth across our portfolio and the capital investment is being supported by very good high return projects.
Salvator Tiano: Great. Thank you very much.
Operator: Thank you. Your next question comes from the line of John Babcock of Bank of America. Your line is open.
George Staphos: Yes, hi. This is George Staphos. How are you, everybody? Sorry for joining the call late. You may have already asked -- answered this question a couple of times, but my first question is really, Tom, Engineered Materials, we have heard the discussion in terms of why it's been lagging in terms of performance for several quarters now. Yes, this is a business that Senior Management is very, very close to and knows very well, it was a very large component of Berry back a number of years ago in terms of what was IPO. And it just strikes us that it's just -- of that, it's still struggling at this juncture. When you know the business so well, you know the customers so well, you know the manufacturing so well, what comfort should we take that impact the business will inflect by the fiscal second quarter from what I recall on volumes and ultimately back performing where it should be based on history? And then I had a follow-on Consumer Packaging.
Tom Salmon: Happy to George, and I think it goes back to. We still have two-thirds of our $120 million pipeline to on-board inside that business. We made sequential improvement in terms to recovery of the distribution business. But we're doing it George in a prudent manner. Right. We want to do it in a way that ultimately preserve the integrity of our leadership position, the value we bring, and we're selling value while we do that.
George Staphos: Okay. So you remain very comfortable with 2Q, 3Q from a fiscal standpoint. You've inflected possibly on volume and then ultimately earnings, would that be fair? Or am I putting too much ahead of you at this juncture?
Tom Salmon: No, that's fair.
George Staphos: Excellent. The other question I had, I wasn't surprised what you said about trade shows, and the interest that you're getting on plastic packaging. What are you seeing aside from the comp, and maybe that's the answer for foodservice. What are you seeing resonate the most with the consumer with your customers right now in terms of new packages from Berry? Relatively it strikes that the ready to recycle program seems like it had some traction from your data or the consumer companies find that consumer is actually buying into this being part of the solution, that's why you're maybe seeing some improvement in volume or is that really still out in another world and that really driving volume at this juncture, again I'm talking about the ready to recycle program? Thank you, guys. Good luck in the quarter.
Tom Salmon: Thanks, George. It's still a very small percentage of our business, but I think this is going to take time to roll-out. I mean there are a number of products that we've introduced in the past, that have strong sustainable story that the market needs to get comfortable around from a cost perspective, in many instances. And then ultimately, the recycle -- how it ultimately gets recycled and reintroduced to be reprocessed is a key component. So I think how that infrastructure gets built over time will ultimately play a big role in that. I'm excited about the RECOVER Act ultimately coming on board, and the work that the Alliance To End Plastics Waste is doing as well as beginning to showcase some opportunities in Southeast Asia in terms of how we ultimately keep plastic waste from getting into the environment and ultimately allow it to be part of the circular economy. So I would just say, George, it is in a very early innings. It is not stopping us from presenting other solutions that are either lighter weight, let's say, reusable, recyclable, compostable, the amount of content regardless of its chemical recycling virgin materials, PCR base, bio base, we are really exploring every possible alternative to give our end customers the ability to choose. And then they ultimately have to make a decision where their end customers relative to the costs and value equation and what makes sense.
George Staphos: All right, thanks. Thanks, Tom. I'll turn it over. Good luck in the quarter.
Tom Salmon: Thank you.
Operator: Thank you. Your next question comes from the line of Adam Josephson of KeyBanc. Your line is open.
Adam Josephson: Thanks. Good morning, everyone. Hope you're well. One on cash flow, so forgive me if this is asked, but your cash flow being $100 million higher than what you had guided to, was that resin? Can you just help me understand what exactly that was?
Tom Salmon: Sure. Yes, we had a benefit from working capital in the year gain due to falling raw material prices, Adam, and that was offset partially by expenses associated with completing RPC transaction fees to advisors, lawyers, accountants, bankers, et cetera. So it's benefit from lower raw materials, offset by charges associated with completing the RPC transaction.
Adam Josephson: Thanks, Mark. And just one other one on your EBITDA expectation for this year. I think on the last call, you kind of got us to a range around $2.15 billion. Is that still your -- I know, you've been asked about the cadence of EBITDA, but do you still expect that same $2.15 billion or so? And within that, what are your expectations for RPC specifically?
Mark Miles: We don't provide exclusive EBITDA guidance, but obviously from the guidance we do provide, there is an implied number there. And that number you're giving would be in line with that implied result. With respect to RPC, they were doing, call it $760 million-ish of EBITDA, and we would expect again continued growth in that as well as the benefit from the synergies in fiscal 2020. Now the RPC business, keep in mind, will be co-mingled within some of our segments. As we mentioned in the prepared comments, the North America rigid business was moved into our CPNA business. You will still see it as acquisition contribution throughout fiscal 2020, but again, there won't be a separate line, if you will, that you can cite to, but you can add what goes in for the components...
Adam Josephson: Sure.
Mark Miles: Acquisitions as we go forward.
Adam Josephson: Thanks, Mark. And just your leverage -- your pro forma leverage at year-end, I forgot, if -- I don't know if you mentioned it.
Mark Miles: Sure, yes. I mean, we came in at 4.8 times. Obviously, the strong cash flow helped us. So, our leverage came in at 4.8 times. Our targeted leverage remains below 4 times. And our -- again consistent predictable cash flow allows us to get below that in a very efficient time frame. And that's our top priority of the Company in addition to growing the Company organically.
Adam Josephson: Thanks a lot, Mark.
Tom Salmon: Thanks, Adam.
Operator: Thank you. I'm seeing no further questions at this time. I'd like to turn it back to Tom for any closing comments.
Tom Salmon: Thanks, everybody for your interest in Berry Global. Look forward to speaking to you next call. Take care.
Operator: Ladies and gentleman, this concludes today's conference call. Thank you for participating. You may now disconnect.